Operator: Thank you, everyone, and welcome to the Beyond Meat, Inc., 2025 Second Quarter Conference Call. [Operator Instructions] Please note today's call will be recorded. It is now my pleasure to turn today's conference over to Paul Sheppard, Vice President of FP&A and Investor Relations.
Paul Sheppard: Thank you. Hello, everyone, and thank you for your participation in today's call. Joining me are Ethan Brown, Founder, President and Chief Executive Officer; and Lubi Kutua, Chief Financial Officer and Treasurer. By now, everyone should have access to our second quarter 2025 earnings press release filed today after market close. This document is available in the Investor Relations section of Beyond Meat's website at www.beyondmeat.com. Before we begin, please note that all the information presented today is unaudited and that during the course of this call, management may make forward-looking statements within the meaning of the federal securities laws. These statements are based on management's current expectations and beliefs and involve risks and uncertainties that could cause actual results to differ materially from those described in these forward-looking statements. Forward-looking statements in our earnings release, along with the comments on this call, are made only as of today and will not be updated as actual events unfold. We refer you to today's press release, our quarterly report on Form 10-Q for the quarter ended June 28, 2025, to be filed with the SEC and our annual report on Form 10-K for the fiscal year ended December 31, 2024, along with other filings with the SEC for a detailed discussion of the risks that could cause actual results to differ materially from those expressed or implied in any forward-looking statements today. Please also note that on today's call, management may reference adjusted EBITDA, adjusted loss from operations and adjusted net loss, which are non-GAAP financial measures. While we believe these non-GAAP financial measures provide useful information for investors, any reference to this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. Please refer to today's press release for a reconciliation of these non-GAAP financial measures to their most comparable GAAP measures. And with that, I would now like to turn the call over to Ethan Brown.
Ethan Brown: Thank you, Paul, and good afternoon, everyone. We are disappointed with our second quarter results, which reflect ongoing softness in the plant-based meat category, particularly in the U.S. retail channel and certain international foodservice segments. Before diving into details on the quarter, this level of disruption to a recovery requires broader commentary. Though we saw a return to top line growth in the back half of 2024, the first 2 quarters of this year indicate the need for a fundamental reset for our brand and category. To stabilize our business and with a goal to achieve EBITDA positive operations within the second half of 2026 and to realize our much longer-term objective of reshaping global protein markets in support of a healthier and more sustainable future, we are taking significant and immediate actions. Many of these, which I enumerate below, you will recognize as an acceleration of existing priorities. One, we are welcoming John Boken of AlixPartners as interim Chief Transformation Officer to lead and support our enterprise-wide transformation activities with a focus on operating expense reduction, gross margin expansion and broader operational efficiency. Two, we are intensifying expense reduction globally to fit our operating base into the existing near-term opportunity. These measures include a reduction in force that we performed today. Before proceeding, I want to thank each of the impacted teammates and acknowledge their tremendous contributions to our company, mission and consumers. It is truly with heavy heart that we made these reductions and my deep appreciation and respect for these teammates and friends extends far beyond any comments I can make today. Three, we are deepening each of our gross margin expansion activities, including continuing to optimize our portfolio by exiting certain product lines and reconfiguring others, making additional investments in our facilities around core production lines and select others where we see opportunities to significantly reduce costs, working within our supply chain to reduce raw ingredient prices and logistics costs and further fitting our production operations to current demand levels so as to realize gross margin recovery even under lower volumes. Four, we are actively pursuing expanded distribution of our core products and expect to bring on new U.S. retail distribution, including in the balance of this year. Five, going forward, we intend to increasingly use Beyond as the primary brand and an empire. We have been formerly using a shortened market in certain instances for some time now and believe it provides for reduced emphasis on facsimile, a now complicated frame that overshadows the real high-quality protein offerings we provide to consumers and a widening of our aperture beyond animal protein replicates, so that we have the freedom to as and when appropriate to do so, meet broader consumer protein needs. Our limited test offering of Beyond Ground on our social channels last week represents an early foray beyond beef, pork and poultry replication and has been met with considerable enthusiasm, albeit with a very narrow consumer set. In the coming months, we will provide additional details on our increased use of the brand mark Beyond, which we implemented on a rolling basis. Sixth, we are continuing to intently focus on strengthening our balance sheet to address our 2027 convertible note maturity. With this high-level context and a clear and comprehensive action plan in place, including a specially appointed interim Chief Transformation Officer, deeper operating expense reduction, increased focus on gross margin expansion across our core product lines, the implementation of new U.S. retail distribution for core product lines, the kickoff of a rolling brand repositioning and continued heightened focus on strengthening our balance sheet, I'll now turn to select details from our second quarter of 2025. Net revenue for the quarter came in at $75 million, well below our expectations and down 20% versus the year ago period, a far cry from the recovery and renewed year-over-year growth we experienced in the second half of last year. The U.S. retail channel represented a large share of the shortfall relative to expectations. I believe at least several factors are afoot. One, broadly, we remain a higher-priced product than the animal protein equivalent, a feature that is particularly detrimental in a prolonged environment of tepid consumer spending. Two, it is clear that the negative narrative surrounding our category and brand is sufficiently ingrained to outlast initial efforts to dispel this information. Three, animal meats are in the true cyclical fashion of consumer trends, having a moment that currently leaves less room for our products and brand. With this macro context setting the stage, more specifically, we saw delays in anticipated new distribution and major promotions at certain large retailers throughout Q2 2025. Further and related, we continue to experience the impact of dislocations arising from the move of our and other plant-based meat products at many retailers refrigerated to the frozen aisle, negatively affecting our U.S. retail performance this quarter. Certain delays in new U.S. retail distribution meant that these aforementioned gaps played a larger role in our Q2 performance than anticipated. It is important to note that in stores where we have been able to maintain a consistent consolidated brand presence, we tend to see more encouraging velocity. This point is an important one to consider as we contemplate broader stabilization across U.S. retail. Recall that this has been an enormously disruptive period for our category and brand across U.S. grocery with instability being the consistent theme for quite some time from multiple entrants flooding the market only to be delisted to a general shrinking of shelf space to a disruptive relocation of the category from refrigerated to frozen aisle in certain large retailers. As we seek to rebuild our presence across this critically important channel, we are prioritizing consolidated offerings at high-impact chains so we might drive results that are similar to some of our higher-performing current retailers. Turning now to international foodservice. We lapped significant promotional activity in the year ago period and saw some pauses and discontinuation of our burger products in certain markets. These changes impact the level and mix of product volume, which in turn has implications for net revenue per pound and gross margin. We expect these and related impacts to continue to exert pressure in terms of year-over-year performance on our international foodservice channel for foreseeable quarters. Moving down the income statement. As one would expect, a 20% reduction in top line revenue exerts negative pressure on gross margin given the reduced volumes flowing through our facilities and the impact it has on fixed cost absorption and COGS. This outcome was certainly the case in the second quarter of 2025 and was further exacerbated by aforementioned and broader unfavorable product mix as we saw a higher percentage of sales from certain lower-margin products. These factors, coupled with higher trade spend compared to the same year ago period and an accelerated depreciation charge equal to approximately 2.2 percentage points resulting from the suspension and substantial cessation of our China operations in the quarter obscured what is otherwise solid improvement on apples-to-apple production costs, a reflection of the vigorous nature of our ongoing manufacturing cost reduction initiatives. Overall, reflecting these factors, gross margin came in at 11.5% in the quarter, down from 14.7% a year ago. Operating expenses were $47.4 million in the second quarter of 2025, compared to $47.6 million in the year-ago period. Though this registers as only a slight improvement, it's important to note that OpEx this quarter included approximately $7.5 million in expenses that we consider nonrecurring or nonroutine. Excluding these expenses, one can see a meaningful reduction in operating expense, both on a year-over-year and sequential basis. As the aforementioned reduction-in-force suggests and our recent entry into 2 separate agreements related to our campus headquarters building that reduce or offset a percentage of our future rent obligations, we are attacking this priority with vigor. Over an appropriate period of time, operating expenses should be squarely viewed in the category of controlling the controllables, and we are confident in our ability to continue to drive down routine enterprise-wide expenses to better fit the current revenue opportunity. This disappointing quarter is now thankfully in the rearview mirror. And as you might have gathered, we're using it to deepen and intensify our transformation efforts towards sustainable EBITDA positive operations within the second half of 2026. Stepping back again to a broader view, I will close with commentary on where we're headed. First and foremost, as has been the theme throughout my comments today, our second quarter of 2025 requires a deeper and more fundamental reset for our company. We are seeing the thoroughness of this reset across the action items I've emphasized, the appointment and empowerment of a transformation industry veteran for purposes of accelerating our enterprise-wide operating efficiency, including and specifically operating expense reduction and gross margin expansion through a strategic push to build back core product distribution at certain high-impact U.S. retailers and our increased use of Beyond as a primary mark so as to open the brand's aperture over time to protein opportunities that fall outside of the pork and poultry replication. The necessity of this reset does not, however, reduce or diminish our conviction or enthusiasm for the future that awaits. I want to be exceptionally clear on this point. We believe the factors that encumber our success today are transient. Just as we recognize that we are a higher-priced item in a period of economic uncertainty and stress, we know that on a material basis, our cost structure will change as we achieve scale. We are, in fact, already in one limited but important instance, producing and supplying product at a cost and price that is roughly equal to the corresponding animal protein equivalent. As we get to much higher volumes across our core products, the efficiency of our system will prevail. And all other things being equal, we should be able to underprice animal protein in many offerings. And just as we acknowledge that our products are on the wrong side of a cultural moment, we know that the extreme nature of the current renaissance around animal protein will as consumer trends do moderate. This moderation may occur solely with time, new information or new trends or may be spurred on by a set of related factors, including pricing pressure, droughts and genetic disease outbreaks. Similarly, even as we continue to do what we can to counter misinformation around our products, including in the short 9-minute film planting change available on YouTube, we believe that over time, facts do have a way of overcoming fiction. Consumers do, in fact, bristle at being misled at the expense of their own health, and our products will have the opportunity to be more fairly evaluated for what they are. Looking immediately forward, we will continue to celebrate our brand and our products for the great tasting, healthful and sustainable addition they can make to the diet of consumers throughout our markets. As the recently released and award-winning Beyond Chicken Pieces indicate with 21 grams of protein, no cholesterol and less than 1 gram of saturated fat sourced from avocado oil, along with only 150 calories, we provide the consumer with strong macronutrients and ratios using simple and clean ingredients, and we keep getting better at doing so. For example, our recently released Beyond Steak Filet product available only at select restaurants and steakhouses provides 28 grams of protein, no cholesterol and only 1 gram of saturated fat also from avocado oil, all with only 230 calories. And finally, our recently teased Beyond Ground original, which does not seek to replicate beef, pork or poultry, is made with only 4 ingredients: water, faba bean protein, potato protein and psyllium husk and provides 27 grams of protein with no cholesterol, no saturated fat, no added oil and only 140 calories is, in my view, just the beginning. Our brand, our company, our expertise, our capability and our ethos are hardwired to deliver clean, great tasting, healthful protein made with simple, clean, limited ingredients, all within highly compelling macronutrient ratios. We took it on the chin in the second quarter of 2025, but remain undeterred and truly excited about our future, the future of protein. And with that, I'll now turn the call over to Lubi.
Lubi Kutua: Thank you, Ethan, and good afternoon, everyone. I'll begin by reviewing our financial results for the quarter in greater detail before providing some brief comments on our outlook. Overall, net revenues decreased 19.6% to $75 million in the second quarter of 2025, compared to $93.2 million in the year-ago period. The year-over-year decline in net revenues was primarily driven by an 18.9% decrease in volume of products sold and a 0.9% decrease in net revenue per pound. Volume of products sold continued to be negatively impacted by weak category demand and was further affected by reduced points of distribution in the U.S. retail channel as well as lower sales of burger products to certain quick service restaurant customers in the international foodservice channel. The slight decrease in net revenue per pound was primarily driven by higher trade discounts and changes in product sales mix, partially offset by favorable changes in foreign currency exchange rates and the benefit from pricing actions initiated in the year ago period. Breaking this down by channel, U.S. retail channel net revenues decreased 26.7% to $32.9 million in the second quarter of 2025, compared to $44.9 million in the year-ago period. The year-over-year decrease was primarily driven by a 24.2% decrease in volume of products sold and a 3.2% decrease in net revenue per pound. Weak category demand, particularly in the refrigerated segment, continued to weigh on our U.S. retail volumes, which were further impacted by reduced points of distribution compared to the year-ago period. Although we expect to regain some of this lost distribution in the balance of the year, we anticipate that operating conditions in our U.S. retail business will nonetheless remain challenging in the near term. The year-over-year decrease in U.S. retail net revenue per pound was primarily driven by higher trade discounts, partially offset by changes in product sales mix and the benefit from pricing actions implemented in 2024. U.S. retail channel net revenues also included approximately $100,000 of ingredient sales in the quarter, compared to approximately $800,000 in the year-ago period. Moving on to U.S. foodservice. Net revenues increased 6.8% to $11.1 million in the second quarter of 2025, compared to $10.4 million in the year-ago period. The year-over-year increase in net revenues was primarily driven by a 4.4% increase in net revenue per pound and a 2.3% increase in volume of products sold, mainly reflecting higher sales of our ground beef and dinner sausage products broadly. Net revenue per pound primarily benefited from last year's pricing actions and changes in product sales mix, partially offset by higher trade discounts. Now turning to international. International retail channel net revenues decreased 9.8% to $15.9 million in the second quarter of 2025, compared to $17.6 million in the year-ago period. The decrease in net revenues was primarily driven by a 13.1% decrease in volume of products sold, partially offset by a 3.9% increase in net revenue per pound. The decrease in volume of products sold was primarily driven by reduced sales of our burger, dinner sausage and ground beef products in Canada as well as lower sales of our burger products in the EU. Net revenue per pound in international retail primarily benefited from favorable changes in FX and changes in product sales mix. In international foodservice, net revenues in the second quarter of 2025 decreased 25.8% to $15.1 million compared to $20.4 million in the year-ago period. The decrease in net revenues was driven by a 21.6% decrease in volume of products sold, mainly attributable to lower sales of burger products to certain QSR customers and a 5.3% decrease in net revenue per pound, primarily driven by changes in product sales mix and partially offset by lower trade discounts and favorable changes in FX. Moving further down the P&L. Gross profit in the second quarter of 2025 was $8.6 million or gross margin of 11.5%, compared to gross profit of $13.7 million or gross margin of 14.7% in the year-ago period. Gross profit and gross margin in the second quarter of 2025 were negatively impacted by the effect of reduced fixed cost absorption given the year-over-year decline in volume and to a lesser extent, a slight reduction in overall net revenue per pound. Additionally, gross profit and gross margin in Q2 included $1.7 million in expenses related to the suspension of our operational activities in China, which have substantially ceased at this point. After taking into account certain transitory factors and the impact of softer volumes, we are encouraged by the direction of travel of our underlying manufacturing costs even as we recognize that there's still significant work to be done to achieve our longer-term objectives. Total operating expenses, including R&D, came in at $47.4 million in the second quarter of 2025, compared to $47.6 million in the year-ago period. This slight year-over-year improvement was achieved even as we incurred certain large nonroutine expenses in Q2, including $4.5 million in expenses related to retention initiatives, $2.5 million in incremental legal expenses associated with arbitration proceedings arising from a contractual dispute with a former co-manufacturer and approximately $500,000 in expenses related to the partial lease termination of a portion of our headquarters building in California. Excluding these items, the year-over-year decrease in operating expenses was primarily driven by reduced marketing and selling expenses. Below the line, total other income net was $5.7 million in the second quarter of 2025, compared to total other expense net of $0.6 million in the year-ago period. The year-over-year increase in total other income net was primarily attributable to net realized and unrealized foreign currency transaction gains. All in, net loss for the second quarter of 2025 was $33.2 million or a loss of $0.43 per common share, compared to net loss of $34.5 million or net loss per common share of $0.53 in the year-ago period. Adjusted EBITDA was a loss of $26 million or minus 34.7% of net revenues in the second quarter of 2025, compared to adjusted EBITDA loss of $23 million or minus 24.7% of net revenues in the year-ago period. With respect to balance sheet and cash flow highlights, our cash and cash equivalents balance, including restricted cash, was $117.3 million and total outstanding debt was approximately $1.2 billion as of June 28, 2025. Net cash used in operating activities was $59.4 million in the 6 months ended June 28, 2025, compared to $47.8 million in the year- ago period, while CapEx totaled $6.4 million in the 6 months ended June 28, 2025, compared to $2.5 million in the year-ago period. Net cash provided by financing activities was $33.6 million in the 6 months ended June 28, 2025, compared to net cash used of $1 million in the year-ago period. Net cash provided by financing activities in the 6 months ended June 28, 2025, included an initial draw in the amount of $40 million from the Delayed Draw Term Loan facility with Unprocessed Foods, LLC, partially offset by related debt issuance costs. With regard to cash usage during the quarter, it is worth noting that our total cash used in Q2 was negatively affected by certain nonroutine payments, including an amount related to the previously disclosed consumer class action settlement, legal and financial adviser costs as we seek to strengthen our balance sheet and nonroutine retention costs to incentivize continuity across key functional areas. Net of these special items, our underlying cash consumption for the quarter was encouragingly lower than in recent quarters, but still a figure we are aggressively working to lower. Although we continue to have no near-term debt maturities in line with our strategic priorities for the year, we continue to focus on strengthening our balance sheet, including evaluating potential transactions to address our existing convertible notes prior to maturity in 2027. I'll now touch briefly on our outlook. We continue to experience an elevated level of volatility and uncertainty in our operating environment, making it extremely difficult to forecast beyond the very short time horizon. As such, we are continuing to provide only limited guidance around our near-term net revenue expectations. Specifically, in the third quarter of 2025, we expect net revenues to be in the range of $68 million to $73 million, reflecting, among other things, persistent softness of demand within the plant-based meat category and the anticipated impact from recent distribution losses at certain QSR customers. And with that, I'll turn the call over to the operator to open it up for your questions. Thank you.
Operator: [Operator Instructions] We'll take our first question from Ben Theurer with Barclays.
Benjamin M. Theurer: Just 2 questions I have for you, gentlemen. So number one, you talked about getting somewhat adjusted EBITDA positive in the back half of next year, if I understood this correctly. So if I just look at somewhat the run rate operating expense that you're having right now, a little over, call it, $40-ish million, I just assume you get this down to a run rate more like in the low 30s, so that would still be an annualized somewhere in like the 120s. So that's like kind of like your gross profit starting point a little less on D&A adjusted. But in order to get there, it really feels like we need higher top line, right? And I mean, you've given obviously outlook for the third quarter to be somewhat slightly down sequentially versus the second quarter if we just assume low 70s versus the $75 million. So the question really is, aside from trying to get the gross margin back up to the 20s, close to 30s, you also need the revenues to be maybe closer to like $350, $400 on an annualized basis, which just with, call it, $70-ish million each quarter doesn't work out. So what can you do to really scale up the top line while at the same time, taking all this hit and trying to serve a cut on the SG&A side. So the balance of here, that's what I would like to understand. What are the measures you're going to take to get one up and the other one down?
Ethan Brown: Great. I can take that, and thanks for the question. Let me focus on U.S. retail just because I think that's where a lot of the issues that we are facing as well as a lot of the opportunity we have to react and make strong changes is available to us. And I made a lot of comments around this in my prepared remarks, but if you look at kind of the reasons that we're experiencing that, it's overall category softness. But at the same time, you're seeing that our products provide something that the consumer is increasingly expressing high, high levels of interest, and that's very high levels of protein. And then protein that has the right ratio to things like saturated fat, things like cholesterol and things like calories. So we fill that need in spades, right? We do it extremely well, right? But if you go on to the next thing is, does it taste good, right? And then you look at things like Beyond Chicken or Beyond Steak and the reviews you see online, I don't need to kind of selectively feed this to you people go look and they get really strong taste reviews, right? So there's something going on. We're bidding a consumer trend around high levels of protein against low levels of calories and saturated fat and things of that nature. The products by third-party objective standards are being reviewed as tasting really good. So what's going on, right? And I think what you have are some of the broader issues that I mentioned. One is this misinformation around the products, right? That is sticky. It's out there, it's been ingrained, and for anyone who's interested in the kind of the actual health of our products, I think watching this Planting Change video we did, which is about 9 minutes on YouTube really helps. But then the second piece outside of the misinformation is really around the pricing structure of our products, right? We are just a higher-priced product, and it continues to be an issue in an environment where the consumer is cash trapped. If you look at, for example, our ground beef at, let's say, $9.99 a pound in an average retailer, versus even as ground beef rises on the animal side, still, let's say, $7.99 a pound, that $2 matters, right? And so you got the headwind of the misinformation. You've got the headwind of pricing. But over time, those things will start to change. You're starting to see more and more people come out, doctors, universities, national health organization and say, wait, this stuff is really good for you, make sure you're including in your diet. And then on pricing, as we continue to get our own house in order in terms of getting the production footprint where it needs to be scaling down to the current size that's required for current demand levels, I do hope that we can start to do something around pricing to maintain our margins, increase our margins, but be able to do so with more competitive pricing. And you're seeing us do that in certain value offerings like classic. We've got 6-count coming out in the burger side that should be able to do that as well. So we can sort of chip away at these issues. But there's something more fundamental we can be doing at the street level that really matters, and I think we'll start to show some dividends on the growth side. If you think about what's happened in U.S. retail, we went from a beautiful selection of plant-based meat in the fresh section of the supermarket refrigerant section a few years ago. Massive amounts of entrants came in, they came out, the misinformation, the pricing, all these things hurts the category as the category starts to become unsettled, then it starts to really devolve, right, into just a smattering of offerings in the refrigerated section, then you see us getting pulled out of the refrigerated section and into the frozen section. That's happening in a really uncoordinated way. So we're finally now starting to get our bearings in the frozen section, where we can build brand blocks. And where we have those brand blocks, you're starting to see much better velocities than you see where we don't have that. And so what our retail team is doing right now is they're going out and they're building these brand blocks in some of the key retailers. And we'll be announcing some distribution later this year that reflects that, but making it easier for the consumer to find our products is just basic blocking and tackling that we're doing. And anyone who's a loyal consumer of our brand knows it's hard to find our products, right? And so building back that distribution, building back those brand blocks in key retailers is something we're very focused on around our core items, and that will start working to deliver some top line, we believe, at least stabilization. So if you look at the macro stuff, we're going to chip away at that. If you look at the sort of on the street stuff, we're working very hard to fix that. And those things should offer some stabilization. Over time, we're starting to extend -- one more thing. Over time, we're starting to extend the brand beyond necessarily just animal protein replicates and into things that just deliver these nutritional gains that consumers want. And the most recent product we teased out around that was the Beyond Ground product. And that has 27 grams of protein, I mentioned it in my prepared remarks, I won't repeat it here. But just the initial tease we did online around that shows that we can capture this consumer in just around really good macros, levels of protein, fiber, low levels of calories, low levels of saturated fat, zero cholesterol. And so you're going to start seeing us do that in a much more surmountable way. And we think that also should lead to some significant top line growth.
Benjamin M. Theurer: And then my second question really, you've kind of like managed, to kind of like sustain the cash balance compared to March. So I was just wondering, I mean, obviously, we're still seeing negative cash, and there was a little bit of like offsetting things on the financing side. So just, Lubi, maybe you can help us bridge a little bit from the level where we're at right now, give or take, a little over $100 million, of course a little bit maybe in restricted cash. How should we think about the cash and the working capital needs and everything that you're going to have to outlay for some of these like measures you're taking into the second half? And how comfortable are you with the cash that you have also in light of the maturity in 2 years' time, give or take?
Ethan Brown: Yes. So very quickly before Lubi jumps in. One of the things that I think is really important to note on the cash consumption this quarter is roughly half of it, probably about $19 million, is kind of cleaning up certain issues, whether it was the class action settlement or dealing with some of the structural issues we're trying to address on the balance sheet, right? So you have a lot of exogenous expense going on that's not related to the core business. So while it feels like a big number, the actual number we're trying to chop away at is much, much lower, and Lubi can talk about that.
Lubi Kutua: Okay. Well, Ethan kind of stole my thought. I think what Ethan said is absolutely correct that -- look, if you look at the, obviously, in the second quarter of this year, we did do our initial draw on the Delayed Term Loan facility, and that was in the amount of $40 million. So if you exclude that, on the face of it, the level of cash consumption looks like it's ticked up on a sequential basis. But as Ethan mentioned, there are some things that were included in Q2, a pretty significant amount related to things like this was the Q -- was the quarter where we paid the class action settlement that we had accrued for in 2024. I mentioned in my prepared remarks, some things we did around retention. We have right now financial and legal adviser fees related to some of our balance sheet strengthening work streams that we're pursuing and other items, and it was a significant amount. But I think like the -- to get to really the heart of your question, right, we are super focused on slowing the rate of cash burn. You asked the question before about -- in your comments about getting to EBITDA positive and how that requires top line. I think that's absolutely right. So we need to not only stabilize the top line and eventually get that growing. But at the same time, right, some of the investments that we're making right now in our manufacturing facilities are really geared towards increasing the gross margin profile of the entire portfolio and taking much more aggressive measures to lower operating expenses, right? And so we announced today the partnership with AlixPartners and bringing on John Boken. And that's really, I think, a symbol of the level of urgency and seriousness that we're placing on ensuring that we are able to drive out cost from the business as quickly as we can.
Operator: We'll take our next question from Alexia Howard with Bernstein.
Alexia Jane Burland Howard: Just a couple of questions from me. First of all, the international foodservice channels and the decline in the QSR chains, it seems as though that was an area of strength up until recently. Can you describe what's changed there and how that could be turned around once again?
Ethan Brown: Sure, sure. So I think it continues to be obviously a very important part of our business. We were lapping some promotional activity in the year ago period. So I think it's somewhat exaggerated because of that, but yes, there is a softening going on. And I think we look at it by market, and some markets are experiencing some macroeconomic conditions that are just making it difficult for our customers and the customers by being in the restaurants we're serving in those regions. Others, there's shifting -- animal protein prices are dropping in certain areas, so they're putting things on the menu that allow them to have higher margin. So it's not one particular issue. But we continue to believe in those partnerships and continue to be active in our relationships with them. But this particular quarter, and I think for the next few quarters, I think you will see some softness in that area.
Alexia Jane Burland Howard: And then just as a follow-up, I guess the question that I'm wrestling with in terms of turning the top line around is how do you get a second bite at the cherry from people that have lapsed? Because obviously, there was a time a few years ago where many people were trying the product and they tried it again and again and again. And eventually, they just dropped off and these are the flexitarian meat eaters. And now I think you mentioned in your prepared remarks, it's a much smaller group of consumers. Is there an issue? Or how can you go about getting those folks back?
Ethan Brown: Yes. Look, it's a great question. And I want to just maybe also refer back to the previous question in that, we're obviously doing everything we can to grow the top line. I think we will, I'm not overly exercised about that. But I look at this in a very long -- over a long period of time, what does the next decade look like, right? And so the #1 job we have right now is really just to fit the operating base of the business into the current demand levels, right? So we need to stabilize the current revenue and then make sure that the operating base fits within that. Once we've done that, then what we can do is sort of get through this period. I mean it is -- as I said, it's not the moment for plant- based meat right now, right? You've got these cultural moments that occur, and we happen to be on the other side of the particular moment, right? And that won't always be the case but what we shouldn't do is sort of use a lot of dry powder trying to force growth right now. What we should be doing is stabilizing the business, getting the operating expense to where it needs to be, fixing the margins so that as we can reach the audience that we need to reach, we're around to be able to do that. And that's really the key focus. Now having said that, I do believe that there are things we can be doing that are not kind of bet the farm activities on growing the top line, and that's some of the things I mentioned. We just continue to lean into the truth about our products. The fact that we do actually fit a very strong consumer trend, which is around protein and fiber. And it's particularly around how those two macronutrients are presented. And that's in the relation to lower calories, lower saturated fat and things of that nature. We do that in spades, so we should be getting rewarded for that. And the reason we're not is some of these things we talked about, the misinformation, the higher pricing, so on and so forth. So when the opportunity to address that, we will. And we'll not only address it through kind of earned and social, we do a little bit paid on it as well. And as I mentioned before, trying to offer value packs to the consumer, things of that nature to get through on the pricing side. But how can we use our brand and our technology to serve that need for the consumer in a variety of applications. And so the Beyond Ground that we teased out, which is getting really fascinating response online and a lot of interest from media, is an effort to emphasize those characteristics and attributes of our products versus emphasizing how much or how similar they are to animal protein. And so if you look at the Beyond Ground with the 27 grams protein, 140 calories, the fiber, et cetera, that's what the consumer is responding to today, and that's where you're going to see Beyond Meat leaning. And I think that will help us with some of the top line issues we're having.
Operator: [Operator Instructions] We'll take our next question from Robert Moskow with TD Cowen.
Robert Bain Moskow: This is from the 10-K. So it's kind of old. It's already been out there for a few months. But I was just looking at the employee count, and it says 754 employees, that's down from 2 years ago, but up a lot from 2023 when you had your first restructuring announcement. And I was wondering if the -- did the net reduction that you were looking for in the November 2023 workforce reduction, did that materialize the way you expected? And is there -- was there an increase in employees in '24 after that? And the reason I'm asking is that everyone's hoping that you can shrink your cost base. It may sound kind of heartless, but in order to remain a going concern, so I wanted to ask that question.
Ethan Brown: Look, it's a good question, and you might look at that and say, it's been creep. These guys are making these cuts, but they're just adding back. That's not what's happening. What's happening is one is the change in composition of our workforce. So a lot of that is production related. And as you recall, we went from 13 co-packers down to 1. And so we have expanded kind of the activities we're doing in our facilities. So that's what that looks like. It's not that our headquarters are chock-full of people, that's not the case.
Lubi Kutua: Yes. The other thing that I -- the one other thing I would just add to that, Rob, is just over the last couple of years, we had invested right, in our international businesses as well, right? And so the EU was expanding. We had a China business as well, right, which we're shutting down our operational activities there, but that's some of what you're seeing in the time period that you're referring to.
Robert Bain Moskow: International expanded in '24? Is that what you're saying?
Ethan Brown: No, I don't think -- I don't -- we will look at the exact numbers. I think he's referencing from '23 to today. But I think the primary issue that you're identifying is this in-house.
Robert Bain Moskow: Contract manufacturing, yes.
Ethan Brown: Basically if you think about all that activity has been brought in-house.
Robert Bain Moskow: Okay. My follow-up, John Boken, can you give a little more detail about what he is going to focus on right out of the gate in order to improve efficiency? And it's a temporary position. So what are his goals coming in? And how long does he have to execute it?
Ethan Brown: Sure. So we've really enjoyed working with AlixPartners and working with John specifically. And this is kind of the next phase in our relationship. And the reason that I wanted him to come on as an Interim Manager of the business is to really drive 2 major outcomes that we're looking for. One is to get the operational footprint into the current revenue environment. So that's the first. And so looking at how to do that thoughtfully in a way that doesn't break things, but gets us to where we need to be. And he has a ton of experience doing that, right? And then the second is really around margin is let's accelerate the margin work. We've had issues where we're making good progress on the cost of goods produced, but you're not seeing that show up in margin as much as you should for a number of reasons. But one of the ones that's the most kind of frustrating, right, is that with lower volumes running through the facilities, you're having poor overhead absorption. And so that's obscuring the good progress we're making so we just have to take a more holistic look at how we're driving margin expansion. And so those two main initiatives are ones that are going to be a major focus for them, but also just the operational efficiency of the business. What I have to do now, and this relates to [indiscernible] and some of the earlier comments, how do we make sure that the terrific products that we're developing, the amazing brand we have, again, just take a moment to think about this. We've been through all this turmoil. But if you look at some major publications in the United States, 2024, I'm not talking about 2021, 2020, 2019. 2024, you're seeing us identified as world's leading brand and so on and so forth. So we have a great brand. We have very good products. There is a disconnect going on. My job as CEO right now is to go out and work on that fundamental connection between our products and the consumer and make sure that, that's happening. And so I wanted someone like John to take a kind of more global look at the business, come in and help us meet some of these, frankly, restructuring goals to make sure that we can become EBITDA positive within the second half of next year. So it's a pretty broadly scope position. I can't comment on how much time he has. We're really enjoying him being here. So hopefully, we'll get some good work done together. I got one more thing for you. You and I always talk about the taste appeal of our products. There's a Yahoo piece that just ran today on our whole-muscle steak, 28 grams of protein, 1 gram saturated fat, all these things made from psyllium, faba beans. It's a beautiful product. In it is a mediator that is talking about -- or I guess his wife is talking about his reaction to this product. That's when I need you to try. You're going to like that one.
Operator: [Operator Instructions] And there are no further questions on the line at this time. I'll turn the program back to Ethan Brown for any closing remarks.
Ethan Brown: Thank you. Look, it was a tough quarter. As I said, we took it on the chin. It wasn't what we wanted but I think the reaction is what matters. And if you look at the kind of transformation program work that I outlined, we're busy doing that. We've obviously known about these results and have been fast after it. And I think between the intensified cost reduction, the gross margin expansion initiatives, really focusing on expanding our core distribution, particularly in U.S. retail and then this opportunity to potentially live outside some of the confines we've been in recently around looking at things like Beyond Ground and the use of the Beyond Brand and protein occasions for consumers. I'm very optimistic where we're headed. And we've got to get this balance sheet stuff worked out. We're working on that. So making some fundamental changes and kind of a reset for where we are as a category leader, I think it's going to be hopefully a productive several years here.
Operator: This does conclude the Beyond Meat, Inc. 2025 Second Quarter Conference Call. Thank you again for your participation, and you may now disconnect.